Operator: Welcome to the First Quarter 2019 Earnings Conference Call. My name is Richard, and I'd be operator for today's call. [Operator Instructions] I would now turn the call over to Senior Vice President and Chief Financial Officer, Dave Cherechinsky. Mr. Cherechinsky, you may begin.
David Cherechinsky: Welcome to the NOW Inc. first quarter 2019 earnings conference call. We appreciate you joining us this morning, and thank you for your interest in NOW Inc. With me today is Robert Workman, President and Chief Executive Officer. NOW Inc. operates primarily under the DistributionNOW and Wilson Export brands. And you'll hear us refer to DistributionNOW and DNOW, which is our New York Stock Exchange ticker symbol, during our conversation this morning. Before we begin this discussion on NOW Inc.'s financial results for the first quarter of 2019, please note that some of the statements we make during this call may contain forecasts, projections and estimates, including, but not limited to, comments about our outlook for the company's business. These are forward-looking statements within the meaning of the U.S. Federal Securities Laws based on limited information as of today, which is subject to change. They are subject to risks and uncertainties, and actual results may differ materially. No one should assume that these forward-looking statements remain valid later in the quarter or later in the year. I refer you to the latest Forms 10-K and 10-Q that NOW Inc. has on file with the U.S. Securities and Exchange Commission for a more detailed discussion of the major risk factors affecting our business. Further information as well as supplemental, financial and operating information may be found within our earnings release on our Investor Relations website at ir.distributionnow.com or in our filings with the SEC. In an effort to provide investors with additional information relative to our results as determined by U.S. GAAP, you'll note that we also disclose various non-GAAP financial measures, including EBITDA, excluding other costs; net income, excluding other costs; and diluted earnings per share, excluding other costs. Each excludes the impact of certain other costs, and therefore, has not been calculated in accordance with GAAP. A reconciliation of each of these non-GAAP financial measures to its most comparable GAAP financial measure is included in our earnings release. As of this morning, the Investor Relations section of our website contains a presentation covering our results and key takeaways for the quarter. A replay of today's call will be available on the site for the next 30 days. We plan to file our first quarter 2019 Form 10-Q today, and it will also be available on our website. Now let me turn the call over to Robert.
Robert Workman: Thanks, Dave and thanks everyone for joining us. Transitioning from the fourth quarter of 2018 to the first quarter of 2019 carried a degree of uncertainty due to an environment where our customers were prudently revising CapEx plans for 2019 resulting from pressure from shareholders to hold CapEx spending within operating cash flow. Year-over-year CapEx projections by many of our E&P operating operator customers sets up an environment where most analysts are projecting activity declines in the high single to low double digit percentage range in the US land market. On our last earnings call we guided that 1Q '19 revenue would have a sequential increase in the low to mid single digit range, making on modest rebound in Canada and some market share gains in the Permian. Our full year 2019 guide was her flat year-over-year to low single digit decline in revenue for 2019. Our 1Q '19 revenue came in at 785 million, up 21 million or 3% sequentially within our guided range for the first quarter 2019. We delivered EBITDA excluding other costs of 31 million in the quarter, and our gross margins improved 70 basis points year-over-year. Sequentially, gross margins declined 40 basis points as the competitive environment we expected materialized. One of the main contributors to sequential margin reduction is related to slowing US land activity. In such an environment, profit margins are more contested. In addition to the macro US land backdrop, commodity process and supply and demand affecting commodities have changed from the previous inflationary environment we had over the last several quarters. Margins have been under pressure as we got it, due to better product availability in the market during this industry pause. As we've noted, Hot Rolled Coil pricing continues to decline affecting welded pipe and the LCTG market is weakening, leaving ore mill capacity on the market to produce land path [ph].The result is downward pressure on price as the market looks to turn higher cost inventory. Global rig count averaged 2,262 rigs according to Baker Hughes, sequentially flat and a 2% year-over-year increase. Our annualized revenue per rig was 1.4 million for 1Q of 2019. US average rig count was down sequentially 2% to 1,046 rigs, yet up year-over-year 8%. US drilled but uncompleted wells or DUCs ended with 8,500 wells in March and averaged 8,471 for 1Q, up 6% sequentially. DUCs present future revenue opportunity for DNOW should the wells be completed, which should drop tank battery construction and midstream gathering systems. WTI averaged $55 per barrel for the first quarter trending up throughout the quarter. We are maintaining adherence to our four strategic areas of delivering on margin discipline, maximizing our core operations, leveraging our acquisitions and having a tactical approach to capital allocation. With the ongoing successful execution of these strategies, we can deliver on the gains our shareholders expect and we made progress in those areas in the first quarter. In the area of operations, we continue to optimize our footprint and inventory to capitalize on market opportunities, as we scale to meet market demand, where we had a few small location closures in the first quarter and maintain WSA under 140 million, all while growing the top line. We're maintaining our focus on supporting growth in areas of high activity by allocating resources to support our customers operations, as we leverage operational efficiencies with our employees, processes and technology. Since the fourth quarter of 2018, we opened our newest regional distribution center in the Permian to more efficiently organize inventory across the area and to help further optimize inventory in the Permian. The Permian RDC investment solidifies our long-term commitment to customers in the Permian, while providing operations with more flexibility on inventory planning, order fulfillment strategies for staging and bundling as well as logistics solutions for our customers. We continue to focus on opportunities to better tune our inventory across our network to increase inventory turns and reduce our overall inventory investment. We further executed our human capital strategy in hot and low activity areas to strengthen our position by prioritizing, recruiting and training, holding recruiting events, relocating key personnel, and providing a safe positive work environment based on our core values of accountability, doing what it takes, caring about our co-workers, our customers and our communities. Beyond just providing commodity products, we've been successfully delivering more value in the application of products and supply chain solutions that focus on industry applications, such as tank battery hookups, upgrades on existing batteries, pumping solutions for midstream crude water and NGL pipelines, produced water disposal, gas measurement, lacks, vapor recovery units and modular fabricated process and production equipment. We're meeting demand for gathering systems and mystery projects comprised of pipe, high-yield fittings and flanges, large diameter valves and actuation, closures, pump packages and fabricated equipment, such as pig launcher and receiver modules. We're exploring economical ways to expand capacity where we have choke points, both organically and inorganically to grow in these areas. We continue to manage product costs changes and inventory mix related to Section 232 impacting steel products, section 301 impacting Chinese manufacturer goods and components and dumping cases related to certain imported pipe fittings and flanges through our strong relationships with suppliers. Cost changes are integrated into our pricing and coding process when applicable. We're deploying technology to enhance our turnaround time, customer order process, fulfillment and delivery mechanisms. Our cross-selling from acquired companies continues to add value. The strong collaboration between us energy centers, US supply chain services and US process solutions is resulting in pull-through sales, new customer introductions, increased market opportunities, and further market penetration, as most evident in our US process solutions gains. Turning to our segments, US revenues were 600 million, up 21 million or 4% sequentially, in line with expectations as the US rebounded from the holidays. US energy centers contributed 52%; US supply chain services 31% and US process solutions 17% of first quarter 2019 US revenue. The Permian continues to be the most active in areas of the Delaware and Midland basins with growth also in the Eagle Ford, Bakken and Rockies. Midstream projects were active in the Permian, Eagle Ford and Northeast and were a large contributor to our sequential top line growth. US energy centers revenue was 314 million, an increase of 2% sequentially. The improved position we highlighted last quarter in the Permian contributed to delivering top line growth for our US energy centers. All while rig counts declined, as we provided a range of valves and maintenance products, followed by new tank battery builds and expansion batteries. Our broad range of products and services combined with our application expertise provided not only pop valves, fittings and flanges, but also instrumentation, electrical safety and production equipment. The Delaware basin continues to be a very active area with a number of our customers as we supply for MRO and pipe, valve and fittings products to drilling contractors, oil and gas operators, and midstream customers. Rig count within the Delaware grew over the quarter, with our core customers showing signs of continued robust activity. In South Texas, we were successful in providing PVF for midstream customers for gathering and pipeline projects, as well as processing facilities that have been under construction to help take away capacity from the Permian to the Gulf Coast, downstream market. In the Northeast, our midstream launch and receiver program for a major midstream customer continues to bear fruit as we provide pre packed, staged and delivery of customized PVF kits, which increases our customers supply chain efficiency and streamlines their order process. Our employees collaboration with multiple parties, including fabricators ensure material is forecasted, kited, quality documents are validated and order fill rates meet agreed upon predetermined targets. The midcontinent area saw a sequential rig count decline for the quarter approximating 17%. Our line pipe business softened during the quarter as we continue to see falling pipe replacement costs and some seasonality weakness. We delivered pipe to oil and gas operators for gathering projects and major midstream customers to support their pipeline expansion product projects. As for US supply chain services, revenue was up 2% sequentially. Activity continued with our main SDS energy customers in the Permian Delaware basin, Scoop Stack, Eagle Ford and Bakken place. PVF facility revenue was lighter in the quarter with one of our major operators correlated to design modifications made on new build facilities. In the Bakken, poor weather contributed to low activity resulting in limited customer work days during the quarter. US supply chain services operator customers' orders were related to steel line pipes, house fullback kits, production equipment and electrical products. In an effort to continually add value as a supply chain partner, we secured orders for water-alternating-gas or WAG units for the Permian. Regarding downstream and industrial activity, we executed on project and turn around business involving PVF, mill tool and safety products for major refineries and chemical manufacturing facilities. For US process solutions, we saw sequential 11 million improvement or 13%. The Permian remain the most active region for US process solutions with the Bakken, Rockies and Eagle Ford area all experiencing increased activity. In the quarter our strategy to grow market share for a fabricated process and production equipment business continues, as we received orders for a variety of units including, but not limited to lacks, motor control centers or MCCs, heater treaters, vapor recovery towers and water injection and pipe line pump packages that were shipped to North Dakota, Texas, Wyoming, Montana and Colorado areas. Customers range from small to large, independent E&P operators, as well as midstream companies which represented our largest growth customer segments sequentially for US process solutions. Our strategy to provide engineered pump package solutions targeted to the water management industry continues to be strong. For water applications, customers range from small oil and gas operators to midstream firms to standalone water management companies. Furthermore, I am pleased with our market penetration within the midstream top line booster market as a result of shipping pump packages for crude, NGL and light end fluids movement for gathering lines. Working with our strategic vendors to plan and provide kitted pump solutions offers a unique value proposition to our midstream customers from pump packages, process and production equipment as well as actuated valves from our US process Solutions Group. Turning to our Canadian operations revenue decreased 2 million or 2% sequentially. The market continues to contract due to production curtailment, instituted by the Alberta government to offset rising crude inventory levels and an attempt to narrow the price gap between Western Canadian Select and WTI oil. Macro challenges remain as takeaway constraints persist, while political and economic challenges impact the oil and gas industry and our business in Canada. Canadian rig count averaged 186, a year-over-year reduction of 87 rigs or 32%. Well spots were 2,179, down 566 or 21% with only 132 operators, down 47 or 26% year-over-year. To summarize Canada for the first quarter and what's normally our strongest quarter of the year, we actually saw a sequential revenue decline, as we had fewer rigs, fewer operators and lower levels of spotting, translating to lower DNOW revenue. Finally, the International segment reported first quarter revenues of 99 million, up 2 million or 2% sequentially. International rig count average 1,030 up 2% sequentially and up 6% year-over-year. Gains were led by offshore activity in Asia, the UK and West Africa. Jack-up rig load outs for new builds continued during the quarter in Asia. DNOW provides many of the OEM and MRO consumables used during drilling operations on an offshore rig where we also provide an inventory replenishment model from a nearby shore base in close proximity to where the rig has been deployed. Middle East land activity remain steady as we provide PVF and MRO consumable products locally to drilling contractors and NOC and IOC Olin gas operators. Our UK MacLean Electrical Group has been successful in securing and shipping electrical products tied to project activity in the Middle East and former CIS. Before moving on to discuss the outlook for the second quarter and the rest of 2019, I'll turn the call over to Dave to review the financials.
David Cherechinsky: Thanks, Robert. For the first quarter of 2019, we generated 785 million in revenue, up 21 million or 3% from the same period in 2018. Sequentially, revenue also improved 21 million [ph] or 3%. First quarter 2019 revenues landed in the range we guided to in our fourth quarter and full year 2018 earnings call, whereas oil prices then were declining in the fourth quarter beginning October at $75 and ending the year at $45, they now have improved into the low $60 range. In the first quarter gross margins were 20.1%, down from the 20.5% level we experienced in the fourth quarter, but up 70 basis points from 19.4% a year ago. The sequential decline was primarily driven by product margin pressure, product mix and resumption of inventory charges, which were lower than usual in the fourth quarter of 2018. Conversely, the uptick in gross margin percent compared to the first quarter of 2018 can be attributed to an improved pricing position this year, and more selective pricing on project quotes compared to this period last year. We have set gross margins to be choppy in the near term as the market reacts to reduced activity levels and commodity price volatility. As we have discussed, we believe there's room for gross margin gains over time, expanding generally in inflationary conditions when oil and steel pipe inflation occurs and our market resumes in a growth trajectory. Warehousing, selling and administrative expenses or WSA was 135 million, unchanged from the fourth quarter of 2018. In the first quarter, we made progress resolving a long standing receivables issue with a third party, resulting in a $3 million net favorable effect on WSA and operating profit paired with continued cost savings from various initiatives throughout the organization. We expect WSA to approximate 140 million or lower per quarter at the activity levels in our guidance and we'll continue to take additional measures in step with changing market conditions. In addition, we have been systematically analyzing our supply chain footprint, namely improving effectively our network of distribution centers, branches, customer on sites and stock trailers work together, how cost effective they are, how well they support the customer strategies, and how adaptable our network is to the nomadic opportunities the industry provides, given the commodity price volatility, market dynamics and evolving customer requirements. This view helps us shape the profile we need to grow the business and mitigate working capital and operating costs further. As you know, we have been diligent about fine tuning our model to improve the financial performance of the business. As such, when considering the locations consolidated or closed in 2018 and in the first quarter 2019, revenue generated in those locations approximated 12 million more in 1Q '18 than in 1Q '19. While we did retain some of this revenue by servicing activity from other locations, we were able to move resources to fund growth elsewhere. This remains the mantra for DNOW. Grow the business while demanding improved operating efficiencies and working capital philosophy. While many positive things are happening across DNOW, one area we've seen notable gains is in our downstream industrial group. This group has implemented a hydrating regimen by focusing on higher margin opportunities of product lines and meaningfully improving operating efficiencies while turning their working capital even faster. All employees in DNOW in addition to our shareholders have benefited from the focus and hard work of this team. Operating profit was 23 million or 2.9% of revenue, an improvement of 16 million year-over-year. Net income for the first quarter was 18 million or $0.16 per diluted share, an improvement of $0.14 when compared to the corresponding period of 2018. On a non-GAAP basis, EBITDA excluding other costs was 31 million or 3.9% of revenue for the first quarter of 2019, an improvement of 15 million versus the first quarter of 2018. Net income excluding other costs was 13 million or $0.12 per diluted share. Other costs after tax for the quarter included the benefit of approximately 5 million from changes in our valuation allowance recorded against the company's deferred tax assets offset by less than 1 million in severance expenses after tax in the period. Our effective tax rate as reported for GAAP purposes was 6.5% for the first quarter of 2019 compared to 24.1% a year ago. The change in the effective tax rate when compared to the corresponding period in 2018 was primarily driven by increases in pre-tax income in 2019. Cash totaled 87 million in March 31, with 76 million located outside the US, approximately 60% of which is in Canada and the UK. Historically, it's been our practice and attention to reinvest earnings of our foreign subsidiaries. In light of the significant changes made by the Tax Cuts and Jobs Act, we previously discussed we are no longer permanently reinvested with regard to our pre eight 2018 Canada and UK earnings. We now are able to repatriate excess cash from both Canada and the UK to the US providing additional treasury flexibility, including repayment of amounts borrowed under our credit facility. During the first quarter of 2019, we repatriated 20 million from our Canadian operations. Moving to our segments, US revenues were 600 million, a 7% improvement from the first quarter of last year on an increase in US rig activity. Canadian revenues were 86 million, down 16% year-over-year, pulling up a negative impact of foreign exchange in Canada, the revenue declined would have been 11% and then a 32% decline in Canadian rig count. And internationally revenues were 99 million in the first quarter of 2019, essentially flat from the year ago. After excluding the negative impact of foreign exchange, international revenue would have increased 3% from 1Q '18 to 1Q '19. Moving on to operating profit, the US generated operating profit 19 million or 3.2% of revenue, an improvement of 16 million when compared to the corresponding period of 2018 primarily due to revenue increases and improved pricing. Canada operating profit was 2 million or down 2 million when compared to the corresponding period of 2018 as a result of the revenue decline mentioned earlier. International operating profit was 2 million or up 2 million when compared to 1Q '18, driven by reduced bad debt charges. Turning to the balance sheet, cash totaled 87 million at March 31 and we ended the quarter with a 124 million borrowed under our revolving credit facility and a net debt position of 37million when considering total company cash. At March 31, 2019 our total liquidity from our credit facility availability plus cash on hand was 531 million. Our debt to capital ratio was 9% at March 31 or 3% when considered on a net debt basis. Working Capital excluding cash as a percent of revenue for the first quarter of 2019 was 22%. Accounts receivable were 513 million at the end of first quarter, up 31 million sequentially on higher sales, yielding 60 day DSOs. First quarter inventory levels were 634 million, and inventory turn rates remained steady at 4.0 turns. Accounts payable was 339 million at the end of the first quarter, with day's payable outstanding at 49 days. Net cash used in operating activities was 20 million for the first quarter with negligible capital expenditures. This quarter we adopted this new standard for accounting for leases, which requires us to move operating leases onto the balance sheet. You will see these added assets and liabilities included in our financial statements in the quarter with the impact of a document standard on our income statement and cash flow being immaterial. We are a working capital intensive business. Our employees are focused on providing value added products and supply chain solutions by out delivering and outsourcing the competition by finding ways to meaningfully speed up collections and reduce purchase quantities and safety stock values and aspiration enabled in the static atmosphere so that we can generate higher levels of free cash flow in 2019. And now I'll turn the call back to Robert.
Robert Workman: Thanks, Dave. Let's wrap up with the outlook for the second quarter and the rest of 2019. Looking forward in the US, WTI is trending above its 4Q '18 average as US rig count has declined of its December peak. US completions have risen from December while the average DUC inventory continues to build. The most recent report from the EIA showed a modest net DUC reduction in March. Even if rig counts decline modestly or remain flattish and if customer budgets shift more towards completions to draw down more on DUC inventory, this could benefit our US process solutions business for modular rotating production, measurement and process equipment. This would also benefit our US supply chain services and US energy centers demand for pipe, valves and fittings, especially as it applies to midstream projects that would be required to get oil, gas and water to their final destinations. Our outlook for the US energy centers remains positive, with high activity areas such as the Permian, Eagle Ford, Rockies and Bakken, leading to softer areas such as the midcontinent and Northeast. Two of our larger US supply chain services operator customers announced they plan to reduce CapEx spend approximately 10% this year, one stated by the midpoint of 2019 and the other on a year-over-year basis. This will put downward pressure on our US supply chain services revenue for the remainder of the year. In Canada where political turmoil and takeaway issues persist for which there aren't any solutions inside, the rest of 2019 will be challenging and we expect declines there. Canada will experience break up as the freestyle cycle has historically reduced our Canadian revenues by approximately 25% sequentially. Alberta's recent election results and investment in transportation by rail provide some optimism for the rest of the year. However, we're cautious about our Canadian operations due to all of the uncertainty. Looking ahead internationally, we are eager to see more jack-up and floater tenders materializing, continue to increase and offshore activity in Europe, Brazil and Mexico, an uptick in land based activity in Australia and budgetary quoting activity tied to some LNG projects. Beyond this, we have some bright spots with a specific offshore drilling contractor in Asia and other projects in the Middle East, which could enable growth in our international business. Recent and planned FID approvals and offshore rig contract announcements indicate that worldwide offshore markets are poised for long-term recovery and that could produce more than just marginal top line improvements for our international segment in 2020 and beyond, as customers work through inventories and move from exploratory to development activities. Given these scenarios and recognizing the opaque view we have into customers' second half 2019 budgetary plans, we reaffirm our guidance for the full year to be flat revenues to a low single digit decline and expect 2Q '19 revenue to be flat to low seeing single digit decline from 1Q '19. We will continue to focus on maximizing gross margins in a choppy but stabilizing process environment. We will work to improve our working capital turns and generate positive free cash flow. Before I move on to recognize one of our dedicated employees, I'd like to summarize the progress we made in the execution of our strategy. We continue to focus on margin discipline, identifying opportunities for enhancement in areas related to our quotation process, as well as pricing, improving our operational efficiencies, optimizing our inventory and our sourcing strategy in responses to import tariffs on steel products and leveraging our previous acquisitions through enhanced cross-selling of products and bundle product and service offerings. We're adjusting our footprint and our supply chain focusing on our central and regional distribution centers inventory strategy, optimizing our human capital, leveraging technology to enhance our replenishment settings and partnering with our preferred suppliers to grow market share. We approach to capital allocation with discipline by leveraging our inventory investment, managing our working capital as a percent of sales with an increase in revenue and maintaining a healthy balance sheet which provides optionality in the event that one of the many companies we like to add to our differentiated product and service offerings becomes viable. With the further successful execution of our strategy, we expect continued improvement towards generating free cash flow, paying down are already low level of debt and creating greater shareholder value. With that, let me recognize one of our employees whose daily hard work and dedication enable us to deliver on our promises. 44 years ago Ed Merritt [ph] started his career as a warehouseman for the oil well division of US Steel in Houston, Texas and less than a year it was promoted store man and in 1981 Ed moved to the purchasing area as a buyer associate, followed by move to the front lines as a sales service representative in 1987. After spending several years of sales leadership roles, in 1998 and became an MRO coordinator, and eventually moved into customer contracts for the Distribution Services Group at National Oilwell. Today Ed works as a pricing coordinator, where he works closely with sales, operations and material sourcing to help drive value for our customers. One of Ed's claims to fame within close circles of our drilling customer community was winning a branding competition for a customer vintage vendor managed inventory solution for land based rigs or as our drilling contractor customers and employees know it today as rig pack. Over the span of 44 years, it would be natural to have a few nicknames thrown at you to see what sticks. For Ed, two words rise to the top as his co-workers, colleagues and customers refer to him as Steady Eddie, a nickname that captures Ed's pride in his work, his commitment and attention to detail. Ed has had a lifelong passion for viticulture and attends to his own orchid at his home in Magnolia, just north of Houston. If you are looking to win a contest or find yourself in a chair, wanting to be a millionaire, and need a phone a friend who can name any tree, plant or flower give Steady Eddie a call. Ed thanks for your 44 years of service, your customer focus and for doing it the right way. Now let me turn the call over to Richard to start taking your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from David Manthey from Baird. Please go ahead.
David Manthey: Hey, good morning, Robert and Dave.
David Cherechinsky: Hi, Dave.
David Manthey: Hey, Dave, quick question for you, last quarter, you had some bad debt recoveries that offset WSA and you said that it would have been 140 plus, if not for those and this quarter, you have these lower bad debt charges, which I assume are lower accruals to a reserve account. The question is, is that a onetime adjustment or should we expect a sustainably lower accrual there and I guess bottom line is, is 135 more representative going forward or the 140 level?
David Cherechinsky: So and answering your first question, we had a $3 million net gain with a third party, which is something we've been working on for probably six years, so that benefit you won't see that in future quarter. So while we posted WSA at 135 it's easily 138. We are seeing more efficiencies, lower medical costs this year in the business, so we're hoping to bring that number down. I talked about in my comments, we expect WSA to be 140 or lower. Right now it's looking like it's going to be in that 138, 140 range. And we like to leave a little cushion there in case things percolate and things - the market gets stronger, but that's kind of where we're at.
David Manthey: Okay, so the 4 million bucks is more a representation of something that you recaptured as opposed to a sustainably lower accrual based on better criteria's?
David Cherechinsky: Yeah, exactly, Dave.
David Manthey: Okay. All right. Thank you.
David Cherechinsky: You're welcome.
Operator: Thank you. Our next question on line comes from Jim West from ISI. Please go ahead.
Jim West: Good morning guys.
Robert Workman: Good morning.
Jim West: So Robert, I think the - part of your business, the offshore partner business has been - well, it's bluntly decimated during the downturn here. I believe it went from a - and these are rough ballpark numbers I don't know roughly $250 million of your business to maybe 75 at the bottom, but also rigs going back to work now, I would think that they need to restock that they probably are under stocked on equipment, spares, et cetera. But I think that would be a pretty big opportunity for you guys. How do you see that unfold? I know you just did a big whirlwind tour and met with many of the offshore operators during that tour. So what are they saying and how do you see that opportunity going forward?
Robert Workman: Yeah, so the number you suggested as far as our peak was a full year number, and it's dropped off quite considerably through all this rig stalking has been going. So the reason I don't expect much recovery in that market for us until 2020 ish is because as you know, there's about 30 or 40 more at least offshore rigs to be scrapped and they will scrap them as you're putting other rigs to work. You know how that works. And so they'll put that inventory to shore base and they'll start feeding the rigs that are either getting constructed or out there working. So for us it's such a huge lag before it affects us especially when we just went through an offshore decline like the one that's never happened before, like the one we just went through, where there's so much spare inventory out there. They'll be burning through their own capital for quite some time. So while it will be - while it will grow I think our offshore revenue with both oil and gas companies and drillers bottomed in Q2 of last year. It's improving modestly and sometimes its double digit growth, but don't forget it's coming off a really low base.
Jim West: Okay, okay. Fair enough. And then as you think about the US land market this year, the E&P independents are going to be - you'll hold in line within budget, which is down a little bit year-over-year, privates likely to respond to the oil price move that we've had and then you have all these two major oil companies announced very ambitious plans and so how does your customer mix stack up against that that planning cycle and that budget cycle and do you have - could you be conservative, I guess and you're kind of forecasting for US land as in fact the major oil companies do what they said they're going to do?
Robert Workman: Well, the difference between the major oil companies and what I say the medium to small independents is the major oil companies typically partner pretty strongly with a supply chain provider. And some of those majors are some of our largest customers, so it could benefit us if the right major is the one that goes to work. The part that gives me some concern is our biggest customers are supply chain oil and gas companies. And most of those, if you've listened to their earnings call so far this season, are toeing the line on their budgets. I mean, one of them reported earlier this week, and he must have said 10 times on the call. We are living with our cash flow. We're live with our cash flow, our CapEx budget won't go up. I don't care where oil goes, we're not going to increase our CapEx budget. So many dynamics involved in that, that I it's really hard at this point to figure out because even some of our big customers that have reported so far have announced they overspent budgets in 1Q and then said, but we won't overspend this year, which leads me to believe that their spend for the next several quarters will be lower than 1Q. So if you've got the answer to what our customers are going to spend the second half of this year, I've got a plane ticket really come entertain us.
Jim West: Great thought, great, thanks guys.
Robert Workman: Thank you.
Operator: Thank you. Our next question on line comes from Marc Bianchi from Cowen. Please go ahead.
Robert Workman: Hey, Mark.
Marc Bianchi: Hey, good morning. Thank you. I guess I'm curious to talk a little bit more about the gross margin commentary that you have here. You guys have been saying for a few quarters choppy and it has this quarter. I'm just curious. What do you think is the range when you say choppy as we look out over the next couple of quarters and how do you see this OCTG weakness that you alluded to kind of impacting that as we roll through the next couple.
David Cherechinsky: Okay, so we've talked about gross margins declining for about three quarters now. And they held strong to the end of the fourth quarter and we had record gross margins of 20.5%. So this was the decline we've had anticipated for some time, but somehow we were able to maintain growth in gross margin several quarters in a row, I think we had four quarters in a row over 20%. What that range is, I don't think we're really sure. I mean, I think - we did 20.1% in this quarter. It could - it's going to vary in these coming quarters, but we don't expect major drops in gross margin. I think it feels like pricing may have stabilized that's going to depend on what happens in the market. We see things slowing down, there will be downward pressure on gross margins, if things start to percolate in the second half will see similar there, that's generally kind of how it's going to behave. But getting specific about the number, it's really hard to tell.
Robert Workman: And regarding the question you asked about OCTG, we don't really distribute OCTG, but when the mills are rolling still, they prefer to make OCTG over everything else because that's where they make most of their profits. So whenever they're really busy making tubing and casing, it's really hard to get a slot in the plant for us to get line pipe replenishment orders and they charge a premium for that pipe because we're convincing them to stop rolling where they make most of their profit. When it slows down and the OCTG is not filling up the mill, then they're more open to rolling line pipe and they're also more open to cutting better pricing arrangements with their suppliers because they need the volume. So that's really how the OCTG affects all of our line pipe.
Marc Bianchi: So Robert, to clarify that your point is if OCTG prices are down there becomes more capacity for line pipe, which could perhaps help your gross margin. Is that really the point you guys are trying to make here?
Robert Workman: No, it's what it is, it creates a deflationary period for line pipe, because our moving average costs in our system for land pipe would be higher than what replacement cost is.
Marc Bianchi: Yeah. Okay and then just - and really a follow up. You guys have been focused on the working capital wind down here and really executing on that as best you can. We notice in the proxy, you guys increased the weighting of that metric in the annual comp with which I think investors will applaud, but could you kind of talk about what the targets are there and how you see that unfolding over the balance of the year.
David Cherechinsky: Okay, so working capital right now is 22%, we've had that a bit lower than that. We want to go lower operationally, we've talked about this. We'd like to get down to 20%. Now, we're in a period where customers are trying to live within budget, everyone's trying to maximize cash retention. So our DSL suffered a little bit in the quarter, customers are holding on to cash. The real opportunity, in addition to working closer with our customers get paid faster is to is to turn our inventory better. We're a little encouraged by although we had a use of cash in the first quarter of 20 million, it's better than the use of cash last year, which was 31 million in the first quarter. So we want the kind of quarters to behave similarly in 2019 like they did in '18 and we believe we can turn your working capital faster and get two more free cash flow in 2019 than 2018. But that's kind of our target and that's what we're shooting for. We were in a kind of a sideways environment and it's hard to get there in this space.
Marc Bianchi: Got it. Thank you very much.
Robert Workman: Thanks, Mark.
Operator: Thank you. Our next question on line comes from Steve Barger from KeyBanc Capital Markets. Please go ahead.
Steve Barger: Hey, good morning, guys.
Robert Workman: Good morning, Steve.
Steve Barger: So I hear you on customers wanting to stay within budget or cash flow. But don't you view that as an opportunity to some degree as a lot of your offerings are focused on lowering costs or just making operations more efficient. And how have you push the company to respond to the environment?
Robert Workman: Well, the long answer to your first question is, yes. The answer your second question is that you're seeing some of that materialize in our business right now. So the two groups that would mainly be able to impact that for customers would be either the process group or the supply chain group. And supply chain group, you'd basically - we do have to win a customer and that would be a big event, it wouldn't be just incremental. The process group is growing for that reason. So that's one of the big drivers because we can start pre-modularizing the entire tank battery while the drilling is going on. And so while the drilling is going on and then the frack job is going on, we actually could have finished the entire tank battery, and then it's all modular. And so when the frack crew leaves the well site, we can show up with our stuff or kit, drop it down it takes a minimal time to plug all this stuff together, so where a normal tank battery might take 45, 60 or longer days depends on how many wells are on the pad. We can have all of our modules on site plumbed in and producing and cleaning gas oil and water and measuring it and put it in pipe lines in three days, five days, seven days, so it's cheaper for the customer because believe it or not the modules that are made in our ASME shops and all of our ISO shops are higher quality. The net-net cost is lower, just straight up, what would it cost to fabricate it because you don't have a bunch of crews on site, with torches and welders and grinders and customers get cash flow quicker because instead of waiting 60 to 90 days to get cash flow, they get cash flow in short order. So that is one of the reasons why we're selling this kit right now to customers who have typically not been our customers because they see the value.
Steve Barger: Yeah, I mean, and we've talked about this before, it seems like that solution just should sell itself. So what is the pushback, if any, that you get when you're out offering that to new customers?
Robert Workman: It's something that most customers haven't experienced before. In fact, most customers say to us, they're like, I wouldn't even know you could do this stuff. So we have to sell them on that. Then you got to get them into the shops. And then have to send their quality people into to go through our shops and make sure to meet their quality standards. But literally most customers didn't know it existed. And that's that was usually the pushback that we got, but right now we're seeing kind of an acceleration of that. Our biggest issue right now is if you think about these solutions, you might have one shop that's fabricating all these kits. And then those feed other shops, like this kit shop will feed the lack unit shop, it'll feed the oil, gas, water separator shop, it'll feed the multiplex water injection pump package shop, so everybody's waiting on their skids to go their shops, so they can finish the work. Another one of our shops that feeds all the other shops is our vessel shop. And that's where we make the ASME vessels that are used for all sorts of stuff, all across there on the lacks units are on the water injector pump packages or on the gas valve. There's a part of the gas, oil, water separator, there are the heater treaters, all that stuff is waiting on a vessel to come to their shop so they can complete their package. That's my choke point right now. So that's what I mentioned on the call we're trying to find inorganic or organic ways to solve that choke point quickly.
Steve Barger: And are you making progress on that front? Have you found a way to open up some capacity there?
Robert Workman: I think so. Yeah. I believe we have a solution that it will happen in short order.
Steve Barger: And just holding the product pricing conversation constant, if you're successful in selling these value added solutions, isn't that positive for gross margin over time and itself?
Robert Workman: It is there's no, there's no question about that it would be positive for gross margin over time. The one thing that works against us is the huge behemoth that's called energy centers, it takes a lot of positive to move that move that ship upward.
Steve Barger: Right, great. And I think I missed this, but you've made some comments about one specific downstream team that was really outperforming on inventory turns or margin. Any more detail on that? And is that something, whatever they're doing that you can spread across the platform?
David Cherechinsky: Well, yeah, I do think we're doing that across the platform. But the leadership there has been particularly focused on improving their business in a meaningful way. And we've seen real positive results there. That stuff's happening across the organization, but when we looked at the year-over-year, most improved that was one of the areas where that happened.
Steve Barger: Okay. And just one last one for me, Alberta announced that real car deal in late February, I think they expect to start shipments in July. Do the customers up there believe that's happening at that pace? And what's the real benefit to you when those trains start transporting oil?
Robert Workman: Well, the issue with Canada from an operator perspective or oil and gas company perspective is they just need to know that something is going to solve the problem. So even if somebody announced it, okay, if BC the agreed with Alberta, yes, you can build that pipeline to go to our coast, even if that pipeline would take a year and a half to two years to build, just knowing it's going to get done with spar activity. So if there's evidence that shows up that the rail solution is actually going to solve some of the problem, I think you would see increased activity, but don't forget, shipping oil by rail is a lot more expensive than shipping it by pipeline. So the differential between what the oil and gas operator earns after paying to get that product all the way to the Gulf Coast is still not inspiring. It's just a lot better than where we are today.
Steve Barger: Right, so better than being stranded.
Robert Workman: Exactly.
Steve Barger: Got it. Thanks for the time.
Robert Workman: Welcome.
Operator: Thank you. Our next question on line comes from Matt Weston from [indiscernible]. Please go ahead.
Robert Workman: Hi, Matt.
Unidentified Analyst: Hey, good morning. How you doing?
Robert Workman: Good.
Unidentified Analyst: I guess, I just want to make sure I heard correctly. The response to I think Mark's question about gross margins. Did Dave mean gross margins are going to be down sequentially or I just didn't want to put words in your mouth, I want to make sure I got it correctly, though.
David Cherechinsky: No, I don't know that to be the case. What I said is we had said for some time we expected - we saw our gross margins grow quarter after quarter, we saw records in the fourth quarter. We expected declines few quarters ago and they occurred in the first quarter. What happens from here? We're not sure.
Robert Workman: And that's the reason why it's hard to forecast that is we're not dealing with some simple way to forecast margins. We did millions and millions and millions of transactions, like a left and right. And so all of that has to settle out so we can see where the margins are headed. So it's a really difficult thing to predict.
David Cherechinsky: Yeah, I don't think the variability is going to be wide. But it's going to vary. And we might - so I'll just leave it at there. I think it's going to be a little choppy as we've been forecasting.
Robert Workman: I mean, if it was down a little bit in this quarter or flat or up a little bit, none of those would surprise me.
Unidentified Analyst: Got it. Okay. Just year-over-year, if I think about like international piece of the business, everybody has been talking about mid to high single digit international growth. Is that a good ballpark to think about overall 2019?
Robert Workman: No, not for us, so if you think about the process you go through when international activity picks up. So once an oil and gas company agrees that they're going to hire drill ship and they're going to go out and drill some exploratory wells. And then to determine later if we're going to go to development, the people that get that revenue first or the drillers and the people that build the subsea equipment and things of that nature, it doesn't materialize in my P&L until that development works done. Yeah, I'll say the rig and stuff, but what I really need is to go and development when the oil and gas company and there's more than one rig out there, start buying a product from us, MRO products and things of that nature, pipe valves and fittings. And so that's why I've said I think I've been saying three years in a row. I didn't expect a material improvement in our international segment until 2020 or beyond.
Unidentified Analyst: Okay, and just thinking about Canada, obviously, down 16% year-over-year, but there was some FX related issues. Is 10% to 15% down year-over-year Canada a good ballpark?
David Cherechinsky: Yeah, probably is, I mean, we were done 11% in the first quarter if you take out the FX effect. So in US dollars it could be in that range.
Unidentified Analyst: Okay. And just last question for me on tank battery I think like you guys had announced like a one kit full kit ordered last quarter, just any uptake any more artists for the full tank.
Robert Workman: Yeah. So that that particular customer was the first one that gave us a shot at delivering what I just reviewed earlier with James West in his question or not James with others, Barger on his question. So we delivered that complete turnkey battery, they wanted to test us, they really liked it and they've ordered several more since then. So I'm hoping as other customers find out that this is working for this particular customer that it'll begin to become a more and more accepted solution as opposed to what we've done it for last 50 years.
Unidentified Analyst: That's very helpful. Thank you for taking my questions.
Robert Workman: Thanks Matt.
Operator: Our next question on line comes from Nathan Jones from Stifel. Please go ahead.
Robert Workman: Hey, Nathan.
Adam Farley: Good morning, this is Adam Farley on for Nathan.
Robert Workman: Hey, is he down in Australia vacationing.
Adam Farley: It's a busy morning for us. Hey, just turning back to US process solutions, you guys called out pretty strong deliveries of produced water packages and some of the future drivers in this like midstream water space. So I was wondering maybe you could like size that opportunity or at least put some color on a high level. Is that mid-stream water gaining more importance from an E&P capital spend?
Robert Workman: Well, it is and it's not just the E&P folks, there are some midstream companies that are in and some pure water companies now. The cost of pump packages we sell into that market are generally some of the lower revenue packages because they're just [indiscernible] pumps, generally. One of the exciting pieces and we've already got some orders lately from some large midstream companies is once you get all that water to one spot, which uses the small lower cost packages, once you've treated this water, you either have to recycle it, which still uses more of these low cost pump packages, or you got re-inject it back down in the formation. And that's where the big pump packages come in. So we were successful last quarter and getting a nice order and for a large midstream company that will take, I don't know, five, six quarters to deliver the whole thing, so pretty positive stuff happening in that space. In fact, the supplier of this big high pressure expensive pumps is one of our partners and they actually mentioned of the order on their earnings call.
Adam Farley: That's good to here and then just turn to M&A. Maybe just do an update on the space, valuations where you guys are at, asset pipeline, what geographies, any color there would be great.
Robert Workman: Yeah. So it's now moved from a seller's market to a buyer's market. Obviously, it's that's why almost all of our deals are usually done in a questionable period of market activity and the inbounds are definitely higher than they were the last 18 months. And we've always got deals that we're looking at that we're constantly negotiating, but we just haven't closed any because we're not willing to - we're trying to be conservative with how we value these businesses. So we're just - we never could get up with a bid at spread, things look a little bit better right now. So we hope something will translate into success in that arena. And the good news is we have a super clean balance sheet. So we won't have any concerns around leverage or anything like that.
Adam Farley: And are there certain geographies that you're looking at or maybe add something to like a bolt on onto US process solutions or any ideas there.
Robert Workman: Yeah, so our stated strategy around the M&A is for anything that we need to do in Canada or the US, for our energy center business or our US supply chain services business is going to be organic generally, unless some deal comes along that we just can't turn down. So they can have access to the balance sheet, as they come up with great ways to grow their business organically. And we will fund that for them. If we do anything else in the US it more than likely be US process solutions. And then outside of the US and Canada, we're kind of open to anything that we do this core, whether it's process equipment, supply chain investment, or in the energy center brands because we're now in some 20 some odd countries that have all their own corporate offices because you have to have them in all these countries. So you have all this overhead. And so if you can acquire companies that are part of our core service and product offering and tuck them up under that corporate office, you can get some pretty nice floaters on this stuff. So, generally that's kind of our planned approach to capital allocation with as it applies to acquisitions.
Adam Farley: All right, great. Thank you.
Robert Workman: Thank you.
Operator: Our next question comes from Sean Meakim from JPMorgan.
Robert Workman: Hey, Sean.
Sean Meakim: Good morning. So I was hoping we could get some more detail around the midstream, it seems like it's becoming a little more prominent in your messaging to the market. To what extent did that - did some of your working capital build relate to what's going to be probably a pretty busy construction season in 2Q and 3Q. And then long-term, how do you think about and I recognize that and we've talked about in the past, and to some degree, you may not as explicitly distinguish up versus midstream, but how do we think about the long-term potential of that and market in terms of projects the next couple of years versus long-term maintenance and more steady work?
Robert Workman: Yeah, so we've always been in the market, obviously. But what we've experienced as of late, which was part of the original plan is we now have access to things that we didn't before that are part of the entire project. So for example, the control of our process solutions group, we never had lacked units before. That's what measure oil when it goes into pipeline, we never had the gas measurement systems, we never had the vapor recovery units, all this stuff that a midstream customer, we used to go to us or our competitors to get all the pipe valves and fittings, then they would go to another supplier to get all the equipment that goes in, like pig launch of receivers and things like that. Now if we can get up front with the actual equipment that they're going to use on these pipelines, we can typically cross-sell all of the material is needed to construct or put this material into the pipeline. So we're seeing a lot of success on cross-selling between US supply chain services and US energy centers by them to coordinate with our US process group to bring in a bigger package and an offering the cut the end user, better economic opportunity to bundle the whole thing. So that's why we're seeing some success in our mystery markets greater than normal. And that also includes the fact that when we got process solutions, before, we didn't have the ability to do valve modification and things like that, we had outsource that work. Now we're doing all that in house. So we're getting off valve evacuation orders, because we have the ability to turn down a ring joint to erase space or whatever, as opposed to waiting on valve deliveries of 38 and 40 and 45 weeks, so all that stuff coupled together and the teams working together is what's kind of spurred this nice growth for our midstream customers and literally we have all sorts of businesses. We got all sorts of markets, whether that's downstream or midstream or upstream or artificial lift or electrical or whatever. I really expected 1Q to be down where you guys forecasted because we had a decline in completions in 4Q. And there's a lag and so I expected the completion decline in 4Q to translate into revenue declines in 1Q, fully expected it. What happened is that actually happened, revenue tied to completions went down, our midstream growth offset it.
Sean Meakim: Very interesting, yeah, makes a lot of sense. And I guess, it'd be good to get an update in terms of where we are on your inventory. You've had tariffs coming in last year, we had some inflation running through the system at various points that was a net benefit for the distributors. So where do we stand today in terms of where your inventory stands versus where spot is across pipe is another kind of key sensitive product lines, it'd be great to get a sense of where we stand on that and the look forward.
David Cherechinsky: Well, what I would say in terms of inventory, Sean is, obviously, the period of strong inflation as - we went through a period of deflation for a couple of years and then finally we got a nice pipe for several quarters mostly driven by steel punctuated by pipe that periods over. We're starting to see some pullback in pricing on welded pipe in particular and seamless pipe otherwise, where replacement cost is getting close to our inventory costs and in some cases lower, so that's kind of leading the downward movement in margins for us in the first quarter. So we're trying to manage our inventory to mitigate the effects of that change in pipe costs. But I think that'll stabilize once we burn off that inventory.
Sean Meakim: Got it. Okay. Thank you for that. Appreciate it.
Robert Workman: Thanks Sean.
Sean Meakim: Thank you.
Operator: Ladies and gentlemen, we have reached the end of our time for the question-and-answer session. I'm now turning the call over to Robert Workman, CEO and President for closing statements.
Robert Workman: I appreciate everyone's interest in our earnings call and discussion about the business and look forward to talking to you in about three months regarding our 2Q performance. Thanks.
Operator: And thank you ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.